Operator: Ladies and gentlemen, good afternoon, and thank you for participating in today's conference call to discuss NV5's Financial Results for the First Quarter 2024 ended March 30, 2024.
 Joining us today are Dickerson Wright, Executive Chairman of NV5; Edward Codispoti, CFO of NV5; Alex Hockman, CEO of NV5, Infrastructure; Ben Heraud, CEO of NV5 Buildings and Technology; Dan Levine, President Geospatial at NV5; and Richard Tong, Executive Vice President and General Counsel at NV5.  
 I would now like to turn the call over to Richard Tong. 
Richard Tong: Thank you, operator. Welcome, everyone, to NV5's First Quarter 2024 Earnings Call. Before we proceed, I would like to notify all participants that today's presentation can be found on ir.nv5.com, and remind everyone that today's discussion contains forward-looking statements about the company's future business and financial performance. These are based on management's current expectations and are subject to risks and uncertainties. Factors that could cause actual results to differ materially from these statements are included in today's presentation slides and in our reports on file with the SEC.  
 During this call, GAAP and non-GAAP financial measures will be discussed. A reconciliation between the 2 is available in today's earnings release and on the company's website at www.nv5.com. Please note that unless otherwise stated, all references to first quarter 2024 comparisons are being made against the first quarter of 2023. In this presentation, NV5 has included certain non-GAAP financial measures as defined in Regulation G promulgated under the Securities and Exchange Act of 1934 as amended. The non-GAAP financial measures included in this presentation are adjusted earnings per share and adjusted EBITDA. NV5 provides non-GAAP financial measures to supplement GAAP measures as they provide additional insight into NV5's results. However, non-GAAP measures have limitations as analytical tools and should not be considered in isolation and are not in accordance or a substitute for GAAP.  
 In addition, other companies may define non-GAAP measures differently, which limits the ability of investors to compare non-GAAP measures of NV5 to those used by peer companies. A webcast replay of this call and its accompanying presentation will also be available via the link provided in today's news release and on the Investors section of the company's website. You may also find today's presentation, which will be referenced during this call on the Investors section of the company's website.  
 We will begin the call with comments from Dickerson Wright, Executive Chairman of NV5, before turning the call over to Edward Codispoti, Chief Financial Officer, for a review of the first quarter 2024 results. Dickerson Wright will then provide closing comments before we open the call for your questions. 
 Dickerson, please go ahead. 
Dickerson Wright: Thank you, Richard, and thank you to everyone for joining our call today. We are off to a great start in 2024. We are pleased to report that the first quarter results reflected strong organic growth, profitability and increased cash flow. Our Infrastructure group, the largest segment of NV5, delivered strong growth in the quarter. This was a result of expansion into new geographies and service lines and the adoption of technology to provide accuracy, efficiency and services over wider geographies.
 The second largest segment of NV5 is our Geospatial Services. Once again, they produced double-digit organic growth and EBITDA of over 20%. We have expanded their services to departments of transportation and utilities to not only increase Geospatial growth, but allow NV5 to have complementary technical additions to the traditional services provided.  
 Our Buildings & Technology Group has become the leading provider of engineering services for data centers. We have teamed with computing chip and software providers to support the tremendous growth of data centers, particularly international operations for Western clients. The clients have committed to investing an average of $300 billion in each year over the next 5 years to address the AI and data center demands. The growing demand for energy has pressured the existing utility delivery grid and NV5 has been asked to provide engineering service and tenant support to provide greater efficiency in the energy delivery model.
 NV5 is well known in this space. In fact, we know of no other firm doing as much work in this area. We will speak later of acquisitions completed in quarter 1 of 2024 that will densify our international footprint and technology, that's by our infrastructure group and create a greater nexus of synergy of our Geospatial group for our traditional Department of Transportation services.
 Let's turn to Page 5 in the presentation deck that you have been furnished that will document the quarter 1 '24 achievements of NV5. You will see that we have experienced organic growth of 8% for quarter 1, '24. Our total growth exceeded quarter 1 '23 by 16%, and our gross profits were 18% greater than Q1 '23. Another important metric is cash flow. Our cash flow from operations improved 73% in the quarter versus quarter 1 '23. Our growth was a result of the expansion of our data center services and our DOT and infrastructure growth initiatives, all of which have created a bridge for our geospatial offerings. We entered new high-growth areas in all verticals and we densified our existing platform through acquisitions of 3 key segments of our business.  
 Please turn to Slide 6. As you can see, our very conservative backlog which represents a rolling going forward for the next 12 months increased from $802 million in Q1 '23 to $838 million in Q1 '24. This backlog includes awards of note, including $65 million in the Department of Transportation Services, $13 million in data center wins, $23 million in infrastructure awards and $13 million in utility service wins.
 Please turn to Slide 7, where we can speak of actual accomplishments as we create the nexus of technology and engineering to deliver faster and more comprehensive services to our clients. We have highlighted on this page, 5 areas where this technology can be increasingly applied.
 I spoke earlier of data center and mission-critical services that we are currently providing to all the major technology clients. We have teamed with suppliers of chips and software, of which many are familiar names as we provide engineering commissioning, IT and MEP energy delivery services to this market.  
 NV5 has been the leader in improving the sustainable infrastructure delivery. We have been a major contributor in developing the Envision standard, along with the Digital Twin and BIM services to provide a better delivery of infrastructure needs. The demand for more electrical power delivery has increased dramatically worldwide. NV5 has addressed this need through tech-enabled and engineering services referenced on this page. Dan Levine will speak more specifically later in the presentation on geospatial data and software to improve delivery of our services.
 There continues to be increased demand for clean energy and decarbonization and NV5 has addressed this on this page. We will make specific presentations in each of these segments. So let's begin with infrastructure, Alex Hockman, our CEO of infrastructure will speak of our accomplishments in the Infrastructure segment. Alex, please go ahead. 
Alexander Hockman: Thank you, Dickerson. Please turn to Slide 8. Our 2023 investments to accelerate organic growth and the key leadership changes in our Southeast and Pacific Northwest businesses are resulting in industry-leading metrics. According to the 2023 census, Florida is home before of the nation's top 5 fastest-growing metropolitan areas. The CHW acquisition that we completed in January has us well positioned to take advantage of these growth opportunities to meet the demands of our urban, suburban and rural communities by offering a full array of civil engineering design, surveying, transportation consulting, landscape architecture and recently added geotechnical capabilities in North Central Florida. We expect to increase our organic growth and profitability through the region.
 The acquisition of Fluhrer Reed expands our structural engineering services throughout North Carolina and the Southeast, located in Raleigh, North Carolina, they are well situated to take advantage of the unprecedented growth in the Research Triangle Park area and the cities of Raleigh, Durman and [ Cary ], which have the tenth fastest growth rate in the U.S.  
 Our California Infrastructure Group was awarded more than $80 million and new contracts in Q1, of which over $65 million was related to transportation projects. These awards were directly related to the national DOT growth initiative launched in 2023. We are seeing a similar trend throughout the U.S. as federal, state and local agencies are responding to the demand for infrastructure improvements.
 As we have in Florida, we anticipate strong growth and profitability for our infrastructure group. Our real estate transaction services has also rebounded well with significant organic growth quarter-over-quarter, which is due to stabilizing interest rates and pent-up demand for real estate transactions. Our utility services continue to expand because of the electrical grid hardening investments by utilities, and we are also seeing a significant increase in our natural gas services, which provides engineering design to improve the existing distribution infrastructure.
 On Slide 9, we've highlighted some of the technologies that we employ to provide specialized value to our clients. Of particular significance is our integrated and technological solutions that allow us to combine several modalities that ultimately offer our clients and project stakeholders useful and understandable information through visualization. These technologies facilitate the development and ultimately the understanding of proposed solutions to address asset management designed to mitigate rising sea levels, a large-scale grid hardening projects are in remote and urban locations as we combine aerial at grade and subsurface information into actionable data, resulting in sustainable infrastructure for future generations.
 Electrical grid hardening continues to be a driver of growth to mitigate fires in the West and protect against storm damage in the East. Electrification initiatives are also driving the demand for additional electrical power delivery to support the conversion from petroleum energy to electricity. From specialized undergrounding design methodologies and reduced underground electrical distribution construction cost and time, the Geospatial Asset Management and Remote Inspection, NV5's implementation of specialized design and technology for transmission and distribution assets contribute to NV5's leadership position and the hardening of the nation's electrical grid. 
Dickerson Wright: Thank you, Alex. Dan Levine, the President of our Geospatial segment will now speak of our accomplishments in this regard. 
Dan Levine: Thank you, Dickerson. Please turn to Slide 10. For the Geospatial sector, we had a great quarter and an organic growth and EBITDA, driven largely, but not exclusively by the activity in our commercial sector, which nearly doubled in Q1 '24 over Q1 '23. This growth is a result of our focus on diversification, service expansion within our existing client base to expand beyond our traditional transmission line vegetation management work into more asset management-related work.
 We have also experienced growth in our bookings in the commercial sector in Q1, signaling strong future performance in this market. Another positive result in Q1 is that our airborne data collection activities were up 6% over prior year, and we have experienced record-setting aircraft utilization each month this year without additional CapEx expenditures. We have achieved a significant milestone this quarter by completing a statewide oblique imagery collection for the state of Kentucky to date, the largest of its kind. We will be continuing to work on the data processing throughout the remainder of the year for the state of Kentucky.  
 During the last earnings call, I spoke about the challenges of the Federal government continuing resolution on our Federal business. As anticipated, budgets were resolved and federal dollars are now flowing. Finally, we acquired GIS solutions out of Illinois in April. GIS Solutions specializes in supporting state DOT GIS needs, including asset management and analysis. This is a key addition to the Geospatial business, but more importantly, to the overall NV5 transportation sector strategy. Not only do they bring unique transportation specific IP to NV5, but the domain expertise and support they provide within DOTs strengthens the connection between our engineering work and our geospatial work.  
 Todd George, who leads NV5 DOT growth initiatives says the knowledge, skills and position within state DOTs that GIS Solution brings completes the digital delivery cycle from planning, engineering design and construction management all the way through Geospatial Asset Management. With this addition of GIS Solutions, we offer full life cycle management of state DOT infrastructure assets.
 We'll now move to Slide 11. I want to take a few minutes to highlight some of the technologies that we have invested in and the deep expertise we have developed in the industries we serve. Each of these are differentiators in the market we serve and are applied across NV5 not just within the Geospatial market. First, we have developed and deployed artificial intelligence, machine learning and deep learning solutions, both internally and externally. 
 Utilizing our AI/ML routines to automatically detect and extract features from our sensor data has allowed us to streamline our data delivery process significantly at volume, with speed and accuracy. Combining our technology prowess with engineering domain expertise, we see the opportunity to connect our asset management data collection in transmission and power delivery as a direct connection to our engineering design as we help modernize the nation's electric grid, as Alex spoke to.  
 Furthermore, we can deliver these AI/ML capabilities directly as a SaaS model, Software-as-a-Service model through our software platform, ENVI and the ENVI Ecosystem. Now speaking of ENVI and our ENVI Ecosystem, this software platform has been a cornerstone of image processing clients for over 30 years. We have recently modernized this technology as a hosted solution and as a software-as-a-service licensing model. Furthermore, our addition of workflow automation with ENVI Connect and simplification of the image processing science with ENVI Inform has expanded our offerings and our client base.
 Next, as a recognized premier enterprise developer of GIS solutions with cloud-based on-premise and hybrid solutions, we were able to tie together many of NV5's capabilities using Geospatial IT as the connected tissue. This allows us to create the connections of our digital spatial deliveries with other corporate enterprise systems such as asset management and permitting elegantly so that they can streamline their processes and systems to operate more effectively.  
 Finally, our extensive library of sensors and acquisition platforms has positioned NV5 as a leader in delivering Digital Twins. These Digital Twins are manifested in the smart energy solutions that our Buildings and Technology group deploys and as part of our digital delivery platform for DOTs. 
Dickerson Wright: Thank you, Dan. We will now hear from our CEO buildings and technology, Ben Heraud, who will speak of our accomplishments in our Buildings and Technology segment as well as the recent initiatives to expand our technology in this area. 
Ben Heraud: Thank you, Dickerson. Let's now turn to Slide 12. NV5 has always had a strong focus on leveraging technology to deliver our work more efficiently and remain engaged with our clients for the long term. Our innovative approach to delivering more traditional services in this way sets us apart from the typical engineering firm. Working closely with our geospatial group, we have been actively embedding 3D reality capture and digital twins into our design and existing building services, positioning us to work with our clients along the entire asset life cycle and drive more subscription-based revenue.
 Looking to the work we are doing in the data center and AI compute space, our mission-critical team continues to grow at a rapid pace. In Q1, we saw organic growth of 27%. Our data center services include specialized MEP and technology design, installation consulting, energy efficiency and power delivery engineering. Our international operation is working with almost all of the major hyperscalers on their data centers. We're actively building our teams in existing locations and new geographies to meet the demand of our clients.
 In the area of clean energy and decarbonization, we're also seeing significant growth. Our Clean Energy Group achieved organic growth of 21% in Q1. We expect this trajectory to continue as governments and businesses invest heavily in decarbonizing the global economy. Working with our clients at the early stage of net zero planning often drives downstream work for our design and program management groups and, in turn, driving the growth also. Though relatively small in comparison to NV5's overall revenue, these are some key growth areas that are accelerating.
 In early April, we acquired ASG Engineering, who provides structural engineering, permitting and compliance services in Dubai. This region is seeing massive growth right now. Our existing operation, which provides MEP and technology services grew organically by 39% in Q1. ASG brings a new service line to our international operation and our intent is to bring these services to our other offices in Asia, including our data center clients.  
 Let's now turn to Slide 13 to discuss tech-enabled engineering solutions that we are deploying for our clients. As I mentioned previously, our work in data centers has been expanding rapidly. Artificial intelligence computing puts even greater demand on the data center electrical usage and heat transfer. NV5's expertise in air flow and cooling design is helping data centers create the ideal environment for the demands created by AI computing, hardware and software.
 In addition, getting enough power to build these data centers is an issue all of our clients are facing right now, and this puts NV5 in a very unique position. Our expertise in energy efficiency and clean energy enables us to unlock captured power load from the data center, allowing for additional rack space. Our expertise in power delivery means we can assist our clients with getting the necessary power to the site.  
 On the clean energy and decarbonization front, our subscription-based energy efficiency monitoring continues to grow, allowing facilities to identify inefficiencies and power spikes in real time, rather than waiting for a commissioning event that may be years down the road. Our renewable energy design and program management allows public entities, electric vehicle charging companies and private sector clients to turn to a single source for permitting, design and owner representation during the construction and our predictive energy auditing and decarbonization consulting is helping clients achieve net zero regulations that have been imposed by the public and private sectors. 
Dickerson Wright: Thank you, Ben. Ed Codispoti, the Chief Financial Officer of NV5, who will now speak of our consolidated financial accomplishments for Q1 '24 and the strong financial health of NV5 going forward. Ed? 
Edward Codispoti: Thank you, Dickerson, and good afternoon, everyone. If you would please turn to Slide 15 of the presentation, I'll review our 2024 first quarter financial results. Our gross revenues in the first quarter grew 16% to $213.3 million compared to $184.3 million in the first quarter of the prior year. Our gross profit was $112.8 million compared to $96 million in the prior year, an increase of 18%.  We had a busy year of acquisitions last year, and as a result, our intangible asset amortization increased by $3.1 million to $12.1 million for the quarter. Our interest expense also increased $2.6 million quarter-over-quarter to $4.2 million due to our higher rates and the financing of a portion of our acquisitions.  
 Our operating margins were also temporarily weighed down by the federal continuing resolution, which was resolved at the end of the first quarter and by the ongoing integration of Axim and VIS. Please keep these factors in mind when looking at our net income, which was $408,000 in the first quarter of 2024 compared to $5.9 million in the first quarter of prior year. With the federal continuing resolution now behind us, we anticipate that revenues will increase and operating margins will improve as we move through 2024.
 Our GAAP diluted earnings per share were $0.03 per share in the first quarter of 2024 compared to $0.39 in the prior year first quarter. EPS was based on 15.6 million shares outstanding this quarter compared to 15.4 million shares outstanding in the previous year quarter. Our adjusted EBITDA was $28.7 million compared to $27.7 million in the first quarter of the prior year, a 4% increase. And our adjusted earnings per share, which excludes the impact of intangible amortization and acquisition-related costs, was $0.66 in the first quarter of 2024 compared to $0.88 per share during the first quarter of last year.
 Turning now to Slide 16. As you can see, we significantly increased our cash flows to 73% over last year's first quarter as we generated $19.6 million of cash from operations. This was despite an increase in interest rates. We ended the quarter with $44.8 million in cash and the low net leverage of 1.4x. Accordingly, we feel confident in the strength of our balance sheet and believe it positions us well for future growth. 
 I'll now turn it back over to Dickerson for some closing comments. 
Dickerson Wright: Thank you, Ed. As you can see in the presentation, NV5 had a very strong first quarter '24. Let's now turn to Slide 18. And I think what we're doing deserves a closer look.  
 So we want you to ask these questions as you look at anyone in our space doing the work? Do they have a history of profitability? Do they have 40 years of success as against consolidator of engineering firms? Are they generating a strong free cash flow? Is there a strategy for acquisitions? Is there an integration that results in improvement of both the target and the consolidated company? And is there organic growth? The sixth thing to really measure a company by and a closer look is what is the leverage? Are the acquisitions being done out of the profitability of the acquirer or are they taking on more debt or leverage? And then finally, is there a scalable support services that furnishes the things that helps the company provide additional services.  
 So if we ask these questions of every company we look at, we feel that NV5 is going to fare very well. Therefore, the guidance that we are increasing the guidance for 2024. And as you look on the right of the page, we will increase the guidance to $937 million to $942 million for gross revenues and the earnings per share on a GAAP basis from $2.87 to $2.93 per share. And then adjusted earnings per share will have a guidance of $5.05 to $5.11 per share. 
Operator: [Operator Instructions] And your first question comes from the line of Chris Moore with CJS Securities. 
Christopher Moore: Great start to the year. Maybe we'll start with Geospatial. I mean '23 was a good year for Geospatial. It feels like for a few reasons, things probably weren't even as good as it could have been. Moving forward, can we talk a little bit about expectations for margins for this business versus the core business and talk about kind of organic growth versus the core business here? 
Dickerson Wright: Okay.  Sure. This is Dick right. I'll start and then for more specificity, I'll refer to Dan Levine, who's the President of our Geospatial Group. Thanks for the questions, Chris, and thanks for listening. And the Geospatial Group, I think we feel we're encouraged about what is going on, that group uses capital equipment quite a bit, and you'll see that we are under budget in growing that. So we think that's going to grow with higher profitability.
 We were really delayed by this continuing resolution. And so what you see in the third month of the first quarter really made up a tremendous amount of growth and profitability. So we are encouraged. We think that the profitability will climb with Geospatial as the year goes forward because I think we now are off to a very good start now that a lot of the federal projects have been funded and we're seeing some significant -- and what was very encouraging to me is the nexus between what we're doing on traditional, the Department of Transportation work and what Geospatial can bring to us. 
 And I think Dan briefly mentioned the acquisition of [ GSS ] that is currently working for Illinois DOT and the Florida DOT, and we think this is going to have a tremendous advantage for us and giving us a technical advantage. So we really want to be recognized for the work that we're doing in Geospatial, but not just a stand-alone situation, but how it really fits in with our core businesses, services and all of the other services. And hopefully, in the presentation that was made clear. So Dan, maybe you may have some thoughts or as what you feel? 
Dan Levine: Yes. Thanks, Dick, and I do see our profitability will be increasing, and we're starting to see that now. And to Dick's point on the last slide on how to measure ourselves against the rest of the market. We are starting to absolutely see some synergies across the 3 components, the existing NV5 G and then VIS and Axim joining last year. Those synergies are starting to be realized and showing themselves now on the bottom line. 
Christopher Moore: Got it. I appreciate that. And I had always looked at geospatial radar wrong as the kind of highest margin business at NV5. Is that -- am I looking at that accurately? 
Dickerson Wright: Well, in the business, there's always some operations that seem to be more profitable. And a fair measurement, most of our other business is based on EBIT where there's not a tremendous amount of depreciation and amortization. I think we benefit with Geospatial because we're judging that everyone on EBITDA, where they have the most equipment and depreciation. But I think I'd also look closely now, we really are encouraged about the profitability of our data center business and our business that really has distributed some reoccurring revenue across the board for all of our businesses. 
 So for now, if you're measuring on pure EBITDA, Geospatial gets the benefit of that. But as far as pure profitability, all of our sectors are doing better. And I would look now, we're very encouraged about what we'll be going with our data center work. 
Christopher Moore: Got it. That makes perfect sense. Maybe just my last one. I mean your business model has been certainly evolving over the past couple of years. You talked a little bit in the prepared remarks on subscription-based offerings. Just trying to get a sense as to kind of what percentage of revenue that comprised in '23. And more importantly, is there a goal there as a percentage of revenue over the next 3 to 5 years? 
Dickerson Wright: Dan, let me take a stab at that, and then I'm going to also again defer to Dan. The VIS acquisition that we recently made is almost 80% of reoccurring revenue. That's all software and that's revenue that is constantly, it's not fluctuating from month to month, it's a continuing base revenue, but that's also a shift that we're making in what we're doing in our Building Technology Group, particularly with what we're doing with the audiovisual group. So as percentage of the whole company, it's probably around 10%, but it's really focused on work that we're doing in both the data center work or subscription-based revenue software work that we are doing with a VIS acquisition or from L3Harris. 
 Dan, maybe you have some thoughts. 
Dan Levine: Yes. And with intent the VIS group developed 2 new products over the last few years, the NV Connect and [ NV Inform ], which are cloud-hosted solutions with a specifically a Software-as-a-Services licensing model. And that's one of the growth areas we expect on that software. That's now a modern solution compared to the baseline entity, which has been managed and developed over the last 30 years. So this is a new market for us and a new licensing model, and that's where we expect to see the growth recurring. 
Operator: And your next question comes from the line of Rob Brown with Lake Street Capital Markets. 
Robert Brown: Just kind of going back to the data center market, could you give us a sense of how much of that is your business and where you're seeing cross-selling opportunities with some of the other things you're doing and just a sense of the growth path in the data center business? 
Dickerson Wright: Okay. We're a bit sensitive about that. I want Ben to speak specifically on what we're doing because the majority of the work that we are doing internationally has been focused on data center.  We work for clients that you're certainly -- Western clients certainly going to know the names, but we just can't mention by name or specific location where that was going. I was just in Singapore, we're a very significant software client that we know, maybe the largest in the world. 
 We met with them and they outlined their growth and what they're going to be doing as far as data centers. But all of the work that we are doing internationally is for well-respected and well-known Western clients. But unfortunately, we can't name specifically about them. But as far as the growth of that market, we're very encouraged, but I'd like to maybe have Ben comment, he would happen to be with me on our trip. 
 So maybe, Ben, you can mention how you feel about the data center work internationally. 
Ben Heraud: Yes. I mean both internationally and domestically, we're excited about it. The majority of the work that we're doing right now is international, but we're seeing that come domestically now sort of cross-selling through these large clients that are actually Western clients. So I think as a percentage, we'll see the revenue growth on the U.S. side here quite quickly over the next 12 months or so. 
Dickerson Wright: And just maybe, Rob, an added comment, there is a tremendous strain on the grid and energy producers because of data center work. In fact, in the U.S., there has been some slowdown or moratorium on that as the energy generators tend to get permitted in a long-term process. The clients that we have internationally don't have those constraints. They're doing an awful lot of these things much quicker. So I think the only constraint that we're going to have domestically is the power delivery use for the data centers. And that's becoming a point of concern for the work that's being done in the U.S. 
Robert Brown: Understood. Okay. And then on the M&A kind of activity. I know you've been, I guess, densifying some of your offerings. Has some of the macro things taking place shifted your thinking there? Or where is your focus on M&A at this point? 
Dickerson Wright: Well, we have a pretty disciplined process. And the first part of that process is what is the strategy for an acquisition, how will it either support our existing platform? How will it densify that existing platform? And then what profitability we add to the company. So Rob, this ebbs and flows in certain areas. We think we did a very significant successful acquisition in infrastructure, 2 of them this year. We think, though, that we see tremendous opportunities for acquisitions in data center work and energy support work. 
 And we think that we see a growing audiovisual market. So there'll be some technology acquisitions, but we see also some significant strategy and acquisitions that support our existing infrastructure. So we're very opportunistic. It's where that is. So our focus right now is what will strengthen the platforms that we have, what will give us that technical edge that we can deliver our services are more profitable and we can grow faster. And we're looking for acquisitions that fit that requirement. 
Operator: And your next question comes from the line of Justin Hauke with Robert W. Baird. 
Justin Hauke: I guess the first one, I just wanted to understand the organic outlook for the year. So your total revenue guide is up 9%. And you did 8% organic growth in the first quarter, but you're bringing on the additional acquisitions. So I guess, maybe a way to ask it is the 4 acquisitions you've done year-to-date, how much revenue are you expecting those to contribute to the year? And what's the expectation for organic growth? 
Dickerson Wright: Okay. I'll start with this and maybe Ed, our CFO can also see what he has outlook. We separate growth in 2 categories. One is growth through acquisition, that is a compounded growth. And then what is the growth, organic growth through acquisitions. So we don't combine the 2. We feel that acquisitions that we can improve on and we can grow organically is how we measure that. And it's measured in very different ways, but mostly it's measured so that we can look at each operation individually and look at their organic growth. 
 As far as the growth, we project the same growth of 8% or above or in that area for the rest of the year organically. That does not include any growth that we may have contributed to us through acquisitions. Ed? 
Edward Codispoti: Yes, I think when you look at the 4 acquisitions we've had to date, 2 were during the first quarter. But across all 4 acquisitions, those are probably at a $40 million run rate when it's all said and done. Of that amount, if you consider the first quarter on its own, maybe $5.7 million revenues came from acquisitions, that should give you a pretty good picture. 
Justin Hauke: Okay. Great. And then I guess the second question is -- so I appreciate the commentary on the higher intangible expense and the interest expense on EPS. But thinking about the EBITDA growth for the year. I think previously, you guys were saying expecting it to be kind of similar to the revenue growth. Obviously, it was a little light here in the first quarter. Is that still the thinking that, that would kind of grow in line with revenue this year? So is the margin improvement that that's implying, is that primarily from the geospatial stuff improving? Or maybe just bridge that a little bit? 
Edward Codispoti: Yes. So the margin, as I mentioned on the call, there were a few factors that were impacting that, of course, intangible amortization, although that does impact EBITDA, but it does impact our bottom line. But when you look at profitability in the first quarter, it's really affected by the continuing resolution, which, as we mentioned, resolved itself at the very end of Q1. And so now when those resources come back online, it's going to improve our profitability.
 We also have the ongoing integrations of both Axim and VIS and there are a lot of synergies, as Dan was talking earlier about those new software products as we integrate those into our existing or legacy Geospatial operations, there are going to be revenue synergies that go along with that as well as cost synergies that we're in the process of realizing. So all of those kind of put together will expand our margins or we anticipate we'll expand our margins throughout the rest of this year. 
 And in terms of EBITDA, I would hope that we can get close to a 17% margin or so -- 17% and change. The first quarter was at 13.5%, but I would expect it to be higher. And total amount should be in the [ 100 ] the way the guidance is working right now if we get those numbers, and we don't give guidance on EBITDA, let me be clear, but we would expect to be in that [ 160 mid 160 range ] in terms of EBITDA is what we would be targeting. 
Operator: Your next question comes from the line of Jeff Martin with ROTH Capital. 
Jeff Martin: Dickerson, I know getting back to organic growth on the infrastructure side of the business is one of your primary objectives. Just curious if you could give us an update on progress you've made, what kind of further progress you expect and over what time frame? 
Dickerson Wright: Okay. Thanks, Jeff. We are very encouraged about the organic growth of our Infrastructure group. I think the organic growth is about 7% for the quarter. We had, as I spoke of earlier in the fourth quarter results, we have established a number of initiatives to 100% remote organic growth in infrastructure. We have one area that where we took a very senior person in our infrastructure group, particularly in the transportation group, and he is devoting his full attention to growing the business with the DOTs and we think that's a target-rich environment. 
 We also, on the initiative we took one of our chief operating persons in environmental to really work on growing the rest of the infrastructure space, particularly and I'm going to mention a couple of things including a comment on what we're doing in water, water resources and environmental growth and a number of other areas that are just purely focused on organic growth. So why we're encouraged is we probably doubled in organic growth in our infrastructure business from where we were. Now I think it's solely for our really concentrating on growing this business internally. 
Jeff Martin: Great. And then outside of the continuing resolution, could you give us an update on what you're seeing in terms of budgets and project funding with probably one state and local level, but just curious if you're noticing any particular trends? 
Dickerson Wright: Well a significant portion of our Geospatial business was impacted by -- which is -- they're working for the Federal government, and that has been impacted by the continuing resolution. I was just in our Arlington, Washington D.C. office, and we've expanded work on Embassy work, and that's been federally coming from the department mostly from the Department of Defense. But -- so we see that trend is picking up now. 
 The federal infrastructure bill, we're not seeing as much of an impact, but I have not seen anything any significant delays. Everything maybe on the commercial side where we're not that dependent, it is very dependent on interest rates. And then 2 of our areas that we're very dependent on interest rates was our real estate transaction business. And Alex, they had commented on earlier, but I think that's growing significantly and very properly, both of those 2. We're doing about $60 million a year in that area. But I think they're exceeding their budget, and they are the most dependent on what we see interest rates. 
 So I think that as you saw in Ed's presentation, we do things out of cash flow. We don't borrow a lot of money. So we're not maybe as affected as many other firms are on interest rates, and we don't have to expand any lines of credit. We try to do things out of cash flow. But Alex, maybe you want to comment on what's going on with the transactional real estate group, what you see? 
Alexander Hockman: Yes. So what we're seeing is very nice growth quarter-over-quarter in our real estate transaction group. And I think, as I said in my comments, it's really a combination of adjusting to the interest rates seeing some stabilization. And there's a lot of projects that, as they blown and turnover, there's a demand for the real estate transaction services that we offer. 
Jeff Martin: One for Ed, if I could. But Ed, you gave the $5.7 million acquired revenue number for the acquisitions year-to-date this year. Do you have a total number for acquisitions that were closed up sequent to the end of Q1 of last year? 
Edward Codispoti: I don't have that. I could tell you that the -- if you're talking about a pro forma as if we had owned them, for the full quarter. I do have that number. Give me one second. That would have been [ 200 ]. We would have had pro forma revenue of $216 million, if everything had been owned from day one in this quarter. 
Operator: And your next question comes from the line of Sam Kusswurm with William Blair. 
Samuel Kusswurm: A quick one, just circling back to Geospatial for a second. I know you were budgeting for this business to be, I think, $320 million for the year. Given everything we've just discussed, is that still a good target for 2024? 
Dickerson Wright: Yes. I can say that we haven't seen any adjustments to the budget. I'll defer to Dan, but I think that we don't expect -- we're not expecting a degradation from the $320 million. But Dan, maybe you have more to say. 
Dan Levine: No. Confidently, yes, I'm sticking to that number. We've had some nice -- even with the Federal delays, we did have some nice coverage on that on the commercial side, as I mentioned in my comments as well. And that really helps for the year. And we've got some more that's going to continue to grow. So yes, we're confident of that number. 
Samuel Kusswurm: Great. Good to hear. Maybe pivoting a little bit here to your Utility Services business. We saw the Utility PG&E was trying to sell stake in their power operations, sort of as a way to reduce rates while raising the funding to make improvements to the grid, such as underground cables. We know this is like a high demand area for this type of service. I guess what we're trying to wonder and think about is that do you think the lack of funds from utilities has been a hurdle to growth at all or if they're prioritizing this type of spending, maybe over other improvements? 
Dickerson Wright: I think that they're looking to, number one, prioritize this just based on the risk associated with fire damages that they've had in the past. So I think that there's an absolute focus that they recognize that whether it's the fire hardening or strategic undergrounding, it's an issue that they have to face, because the risk of not addressing it is too great. 
Operator: Your next question comes from the line of David Marsh with Singular Research. 
David Marsh: Congrats on the quarter. It's a good way to start the year. I want to look at things at a little bit of a higher level in terms of the P&L, if we could. Just I know there's a lot of puts and takes that go into the gross margin. It looks like you came in around 49% if I'm doing my math right for the quarter? Or is it a little higher than that perhaps. But I just wanted to get a sense of where you see that relative -- you were a little higher that, 53% for the quarter. So that's a pretty high print actually. Is that a sustainable level relative to the balance of the year in your eyes at this point? Or would we expect a little compression there? 
Dickerson Wright: This is Dick, and then I'll let Ed and others. We really have been watching the gross margin. And I would suspect that, that number, if you say 53%, we expect our margin to be better than that as we go forward. A lot of that has been affected by -- when we do the acquisitions, there's always a time for integration and a duplication of roles. We just don't immediately cut people off. So on the acquisitions, they may have a finance person. They may have a human resources person. They may have IT, they may have some things that we would normally consider duplication and that can affect cost, can affect the gross margin. 
 So as we continue to integrate these teams and these acquisitions as they become more mature with us, we anticipate the gross margin improving. I don't see a real pressure on the cost side or what we do the invoicing side of our pressurizing it, it's just the -- some of the duplications and what we call support services of the back office, but we anticipate that the gross margin should be 53% or above. But Ed, you may have one. 
Edward Codispoti: No. I would agree with that. And like you said, the first quarter was 53%. So I could confirm that 52.9%, I believe. For the full year, that's not unreasonable. We'd probably be somewhere in that 51% to 53% range is how we've been trending. So that's what our expectation. 
David Marsh: That's really super helpful. And then just the other part of the P&L, just below there, you get some pretty good increase year-over-year in salaries ranges, payroll taxes on G&A. Are there any one-timers in there that you would expect to fall out? Or are we just -- is this kind of inflationary type pressure that we're going to have to live with here for the rest of the year? 
Edward Codispoti: Well, when you look at the year-over-year, just remember that on an as-reported basis, you had Axim come in, in February of last year and VIS the other geospatial acquisition coming in April. So you have those -- both of those fully weighted into this first quarter and not all in last year's first quarter, along with all the other acquisitions that we did throughout the year. So really, the increase you're seeing is a result of those acquisitions, along with some of the integration costs that we are weaning ourselves out of here as we integrate those geospatial operations. 
David Marsh: Got it. Got it. And then just lastly for me, should you guys generate cash flow, you did take on a little bit of debt to make those acquisitions. Would the first priority be to reduce the debt again? Or would you just continue to look for other acquisition opportunities? Or I guess, kind of more generally, what type of debt level or you confirm which from an EBITDA perspective? And how do you manage that going forward? 
Dickerson Wright: Well, I'll start with this, and Ed can be -- let me answer the terms that I can understand, which is certainly a low threshold. But I think that you need to look at everything at leverage to EBITDA and [ 1.4x ] is a very unlevered. We've had [ 1.2x ], but many, many firms will go as high as 5x debt. So we do not think that we want to be overlevered. So if we happen to have a great opportunity where we would borrow money, we would want to make sure that the EBITDA we're receiving does not tremendously impact our debt load. 
 So right now, we -- if you look on the last slide of our presentation, we want to continue to be low on leverage, and that would include opportunities for acquisitions. If we do borrow money, it's going to be at a levering point that we have earnings to cover that. 
Edward Codispoti: I would agree with that, Dick. And I think absent any M&A opportunities, which we cycle through and they can't really predict when they're going to come around. We're going to use our free cash flow to pay down debt to the extent possible. And that's the expectation. 
Operator: And your final question comes from the line of Michael Feniger with Bank of America. 
Michael Feniger: I'm just curious, obviously, geospatial U.S. flagged growing double digits. What areas are growing kind of below that where we see our organic growth at 8%? Is it still some of the rate-sensitive areas, what areas do you kind of flagged that are growing at a less robust pace than we're seeing for areas like geospatial? 
Dickerson Wright: Well, I'll start with. If you look at the Infrastructure group, it's our largest segment of the company. So I'm growing at 7%, to me, was very encouraging, even when we have to overcome the lack of start-up of LNG. And so that's significantly under where we were last year and also in our support services for ocean mapping, we were very concentrated on offshore wind and now that has been a moratorium. But if we put all of that together, in the infrastructure group, I would say that it's growing very quickly if you exclude those 2. 
 The Geospatial Group independently has grown very strong. But when they combine their services, to support our utility business and our DOT business, and they seem to grow much faster than that. So those are the 2 areas domestically where we're really looking for market growth or lack there of organic growth. And then internationally, I think you saw the presentation that Ben gave and we are really growing a tremendously strong amount percentage-wise organically, although it's from a low volume base. But -- so if you look at pure infrastructure and their growth, we have to take in consideration a downturn in our LNG business and a downturn in our wind farm business offshore. So -- but other than that -- including that, we still grew at about 7%. 
Michael Feniger: Helpful. And just -- when we think of the acquisitions done year-to-date, is the rest of the year more just digesting and integrating the deals announced? Or is there more in the pipeline? And just a follow-on to that, if there is one on the pipeline, is it more geared to these data centers, subscription areas? Are multiples there moving up materially? Any help there would be helpful. 
Dickerson Wright: What I'd like to say, Mike, is many people play at M&A work. I think you really have to devote resources. So we have 2 full-time M&A people and they [ consent ]. So we always have opportunities out there. And we're -- at any one time, we probably have -- we're looking at 10 companies, and maybe we'll end up doing 2 or 3. I can say right now that we don't say let's look at this area. Let's look at that area. But I leave that to our M&A people for opportunities. Right now, though, we were looking at a significant opportunity in the utility business, and we're looking at continued opportunities in the data center business.
 And in the infrastructure area, we're looking at in new geographies or high-growth areas to supplier services. But it's really -- you have to honestly work at it. And so we -- as I say, we devote 2 people full time to do that, and one part time to do M&A work. And it's only to give us opportunities that are out there. 
Michael Feniger: Great. And just lastly, you provided some great color on the updated guidance, how to think about [Technical Difficulty]. 
Edward Codispoti: Sure, Mike. So from a conversion standpoint, that conversion rate in Q1 was close to 70%. It was around a 66% conversion rate. As we move forward, there's different timings around tax payments. And in particular, you've heard us talk in the past about 174 (d) that's the IRS ruling that where we're unable to capitalize R&D expenses -- or sorry, we're unable to deduct them and we have to capitalize them and then amortize them. And so that's -- over the next 5 years, it's more of a timing thing doesn't affect our effective tax rate. But from a cash flow perspective, we're having to pay more than what we normally would until all of that levels out over the 5 years.
 And so over the remaining part of the year, that number -- those tax payments might increase. And so I would expect the conversion rate to be somewhere between high 40%, say, 48% and 60% range if I had to try to predict that. 
 And I think he got back in line. So. 
Operator: And ladies and gentlemen, at this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Wright for closing remarks. 
Dickerson Wright: Okay. Well, thank you, operator. Thank you, everyone, for listening in today. I thought it would be good to mention some ongoing projects that we have that are not -- we've spoken a lot about Geospatial, a lot about data centers. But I just wanted to let you know that we really are focused on our engineering projects and also that nexus to what we can bring to a technology to engineering so that we can have an edge in profitability and growth with our competitors. 
 So I just wanted to -- during the quarter, I just wanted to mention some areas that we've seen strong growth. And in the states, the state of Washington, we won a -- the Department of Ecology we won a very significant water project to support the Department of Ecology, L.A. County, the Department of Public Works, we won a significant project to monitor storm water release. We've also won geospatial projects that have the nexus for monitoring our DOTs water use.
 Also, I think it's noteworthy in our audiovisual work. We won a significant project in [indiscernible] State University and working with their audio-video. The reason I mentioned these is just so that you get a good view that we are continuing to focus domestically and internationally. And the theme is really how do we bring technology to that typical engineering services and how people look at us as growing the business, but also growing it very profitably. 
 So I want to thank you. We had a very good first quarter, but that's just the beginning. We have work to do, and I want to thank everyone for listening in, and I want to thank everyone that helped produce those first quarter results. And so now we'll be speaking to you again at the end of the second quarter. And I'm encouraged about what we see going forward. So thank you, everyone. I appreciate the time you gave us. 
Operator: Ladies and gentlemen, this concludes today's call. And we thank you for your participation. You may now disconnect.